Joanne Jobin: Good morning. I'm your host, Joanne Jobin, and welcome to another Gold Royalty Townhall Forum hosted by VIDMedia. Before we start, I'd like to introduce CEO, David Garofalo; John Griffith, Chief Development Officer; and Andrew Gubbels CFO, who will provide an update on recent financial and operating results for the company. After their presentation, I'll be delighted to moderate submitted questions from our audience. 
 Now a few words on the company. Gold Royalty Corp. is a precious metals-focused royalty and streaming company, offering creative financing solutions to the metals and mining industry. It currently has a diversified portfolio of over 190 royalties located in mining-friendly jurisdictions throughout the Americas. The company's business model includes acquiring royalties, streams and similar interests at varying stages of the mine life cycle to build a balanced portfolio offering near, medium and longer-term attractive returns for investors. 
 Now before we get started, I would like to remind you that if you do have any questions for the company, please place them into the Q&A tab at the top of your chat sections. 
 And please ensure that you fill in the short questionnaire at the end of the presentation, as this helps us and the company communicate more effectively with you for future events. 
 And before I turn it over to the team, please note the forward-looking statement at the beginning of this presentation. Gentlemen, the stage is yours. 
David Garofalo: Thank you, Joanne. Good morning, everybody, and welcome to John and Andrew as well, who'll be presenting along with me, and Andrew will be providing a highlight on the financial results for the quarter and our forward-looking projections, and John will walk us through our portfolio, a very extensive portfolio. Actually, now 216 royalties across the portfolio, heavily concentrated in the Americas with even significant concentration in Nevada, Quebec and Ontario, the 3 best mining jurisdictions in the world and some of the best producing gold assets in the world. And we'll get into that in a bit more detail as we go through the presentation. But I thought I'd spend a minute talking about the rally in the gold price of late. And as we've said in the past, when we talked about the fundamentals for gold, we've always said it's more monetary instrument than our commodity. 
 And really what drives gold price up and down as relative to interest rates. While gold as a monetary instrument has always yielded zero. Treasuries today, whether it's U.S. treasuries or whether we're looking at the European monetary instruments or in the Western world generally are really yielding negative on a real basis, even as nominal rates are starting to go up, we're seeing inflation accelerate. And inflation will continue to accelerate, because central banks are dealing with a quandary in that we're seeing the monetary system, particularly financial services system start to collapse underneath, because all the accesses that have been introduced into the system since the credit crisis of about 15 years ago, there's been a massive expansion of money supply and excess debt and as interest rates go up, servicing of debt has become a significant challenge, and we've seen the evidence of that in the financial sector as we've seen banks collapse. And that's just really the beginning, the tip of the iceberg. 
 That's the catalyst for gold, and it has been the catalyst for gold over the last couple of months as we've seen a significant acceleration in the price. As the market has started to realize that the central banks really can tighten monetary conditions significantly with undermining the financial system, under mining governments because as we correctly pointed out, the debt levels that were -- we've strapped on as a society since the onset of this inflation cycle and since the great financial crisis is significantly greater than it was back in the 1970s when we last experienced these types of inflation. Debt to GDP globally is at about 350%. And relative to where it was in the 1970s at 100%. 
 So what that tells you is there's very limited latitude for central banks and meaningfully tighten monetary conditions without undermining governments, corporations and individuals, all of whom are carrying unprecedented debt levels. So while we're seeing the central banks continue to increase interest rates, and for example, the Federal Reserve is recently                 interest rates another 25 basis points. That same Federal Reserve introduced $300 billion of new liquidity into the system, the stave off bank collapses. And there's more about to come. 
 So they are sucking and blowing. We're starting to see central banks introduce new money supply into the system even as they're increasing nominal interest rates. What that will serve to do is accelerate inflation. And we're going to see inflation levels unlike we haven't seen since the 1970s, and that will drive real interest rates deeper and deeper in a negative territory and the negative correlation -- the negative relationship between the gold price and real interest rates is striking and dramatic. 
 And that's why we've been consistent in saying that gold will achieve its new all-time highs of at least $3,000 an ounce, and that's on a real basis. Because gold back in the early 1980s and the last big inflation cycle was in excess of $800 an ounce. But if you inflation adjust that to 2023 dollar, that suggests us the gold could go to at least $3,000 an ounce, and that would be the real all-time high. So we still have at least 50% upside from the current gold price levels that we're experiencing. And that will drive new capital into the gold sector, and we think significant share price appreciation. And we're starting to see the early evidence of that. 
 Since the crisis and banking system, really, which started to manifest itself in early March, we've seen a significant outperformance in both the GDXJ and gold prices relative to the general equity markets. And that's what gold should do in these types of times of prices is provide insurance against volatility in the general equity market. So we've seen the gold price go up dramatically. There's more of that to come, and there's more volatility to come in the general equity markets as people's confidence in the economy is undermined and as money supply continues to accelerate, inflation continues to accelerate, people will be looking for gold as a life preserver, as a protector and preserver of their savings, because inflation's insidious eats at our savings, whereas gold preserves savings in the face of an inflationary environment. 
 And with that macro discussion, I'd like to pass it on to Andrew to talk about our financial results. Oh, sorry, and I should end my discussion talking about the opportunity I see in the valuations before I hand it off to Andrew to talk about our financial results, you can see that the sector is still significantly discounted.  We're still in relative significant underperformance of the gold equities relative to the gold price. And the opportunity we see with Gold Royalty trading at 0.5x NAV with an enviable portfolio of assets within the Americas and peer-leading growth as a significant re-rate as we crystallize that revenue growth over the coming years. 
 And the thing I should add, we own 216 royalties, but they're completely bought and paid for. There's no capital calls on them. So essentially, we just have to wait for that growth to come to fruition. And the value accretion on a per share basis is immense over the coming years and the re-rate potential of our stock as we achieve that scale organically through the growth of our cash flow from an existing well-diversified portfolio within the best mining jurisdictions of the world, we think, is immense and a great opportunity for our shareholders to realize upside. 
 With that, I will pass it on to Andrew to talk about our financial results. 
Andrew Gubbels: Thanks, Dave. You would have seen yesterday, we announced our financial results for the quarter ended December 31, 2022, with the change in our fiscal year-end from September 30 to December 31. This period will become the fourth quarter of what will be our 2022 fiscal year. In the December quarter, we continued to generate robust revenue from our portfolio, earning $1.1 million of total revenue and option proceeds for that 3-month period. Now that's an 11% increase from the same period in 2021. This is largely due to revenue -- higher revenue contribution from some core royalties such as Canadian Malartic and Borden. 
 For fiscal 2023, we do expect total revenue and option proceeds to increase year-on-year, and we've put forward guidance of $5.5 million to $6.5 million in total revenue and option proceeds for a year. We end the calendar year with a strong financial position as well. We have cash and available liquidity of approximately $35 million, and we're well positioned to fund our business and continue to grow the company throughout the year with this liquidity position. 
 Finally, in fiscal 2023, we also expect recurring cash operating costs to be between $7 million and $8 million for the year. Now this would represent a circa 30% decrease in recurring operating costs from the prior calendar year and reflects the evolution of our company after a fast start on the IPO, and 3 large strategic acquisitions in our initial growth phase. 
 Now beyond our financial results, I do want to highlight the company's progress with respect to ESG and ESG disclosure. In 2023, we joined the UN Global Compact and will disclose our ESG performance in an inaugural sustainability study in and around our Investor and Analyst Day in May. Alongside the sustainability report, we also expect to publish our first asset handbook. This important document will provide investors with a detailed look into the assets that make up our market-leading growth portfolio. 
 Now with that, I'll pass it over to John Griffith, our Chief Development Officer, to step through the assets. 
John Griffith: Thank you very much, Andrew. And it's a pleasure to have you all join us today and thank you for your time. It's worth recalling that it was only 2 years ago that we went public with a portfolio of 18 royalties, and we now have over 200 royalties that are fully paid for in a portfolio poised to deliver multi-decade growth. Our portfolio places us in the top 5 in terms of the number of royalties behind the likes of Franco-Nevada, Sandstorm and Triple Flag. 
 Our portfolio is organic in the sense that many of the assets are moving forward in the very capable hands of some of the world's leading well-capitalized and socially responsible gold producers as noted at the bottom of this page. As our key top-tier operating partners work to move these assets along the development pipeline, they become increasingly valuable without Gold Royalty having to raise any additional capital or incur any additional costs. Our 7 producing royalties are closely shadowed by 14 royalties on development assets, many of which will be in production over the next several years, delivering peer-leading revenue growth. 
 Behind the pipeline of development royalties, we have another 38 advanced exploration royalties with resources, many of which present very large gold resource endowments, and the scope to rapidly move into the development trend such as Fenelon. And then we have over 150 exploration royalties, many of which are in the most prolific gold producing regions in the Americas. These royalties provide significant option value to provide meaningful future value accretion over time. 
 Turning to Slide 9. As mentioned, the producing and development royalties in our portfolio will be the key drivers of our peer-leading growth over the next several years. Using research analyst consensus estimates, Gold Royalty is expected to deliver organic revenue growth on a compound annual growth rate basis of 60% over the next several years. And importantly, we do not need to raise any capital or incur any additional costs to benefit from this growth. Beyond the next several years, we anticipate a continued growth in revenue as assets such as Odyssey, Granite Creek and Côté come online, supported by the REN project, the Northern extension of Goldstrike as well as Fenelon towards the end of the decade. 
 Turning to Slide 10. In addition to having a balanced portfolio operated by many of the world's leading operating companies, our portfolio benefits from being heavily weighted in some of the best mining jurisdictions in the world, as measured by the Fraser Institute, taking into account factors such as geological prospectivity, access to skilled labor, permitting and rule of law. Over 80% of our net asset value is anchored in the provinces of Quebec and Ontario in Canada and the state of Nevada in the U.S.A. 
 And speaking of prospectivity, last year, our operating partners drilled over 700,000 meters on our underlying properties. This year, our operating partners are expected to drill a further 600,000 meters. All of this exploration comes with zero cost to Gold Royalty, but with all the upside in potential resource growth. This underscores that our portfolio is not just about quantity of royalties, but also the quality of our assets in which our operating partners are investing so heavily. 
 Turning to Slide 11. We have grown quickly, but we've also built our business on solid foundations. A number of our royalties are underpinned by assets that are not only among the largest gold mines in North America, but also mines that will produce gold for many decades. This is a differentiating feature of our company. None of our more immediate peers have multiple assets such as Odyssey, Côté and REN that will all be producing gold this decade and still be producing gold in 2040 and beyond. It is important to emphasize this point as great mining companies are built on the back of great assets. Franco-Nevada's foundational asset was a royalty on Barrick's Goldstrike mine. And we have a royalty on the Northern extension an important future contributor to Goldstrike, the REN project. 
 The attributes of our portfolio are outstanding. We are poised to deliver exceptional growth, not just over the next several decades, but well into the next -- sorry, not over the next several years, but well into the next decade. Our confidence in the portfolio allowed us to initiate a dividend early on in the evolution of our company. And it will be instrumental in being able to grow total shareholder returns over time. 
 Having addressed some of the macro attributes of our portfolio I'd now like to speak a bit more in detail about some of our exciting assets. Turning to Slide 12, first speaking about the Canadian Malartic property. As a reminder, we hold a 3% NSR royalty on portions of the Canadian Malartic mine and the Odyssey project. This royalty currently applies to a portion of the Canadian                 and the shein zones and all of the Jefferies zone within the Canadian Malartic mine property. 
 The previously announced acquisition of Yamana buy Agnico Eagle and Pan American is expected to close soon, resulting in Agnico Eagle becoming the sole owner and operator of the Canadian Malartic property. The Canadian Malartic and Odyssey mines will now form the Canadian Malartic complex. For 2023, Agnico Eagle disclosed that production is expected to be sourced from the Canadian Malartic pit, the Barnet pitch and the Odyssey mine, complemented by ore from the low-grade stockpiles. The Canadian Malartic pit is expected to be exhausted late in the first half of 2023. Production from the REN sections of the Odyssey mine is expected to commence in March 2023 with the mined ore to be processed at the Canadian Malartic mill. 
 The Odyssey mine is forecast to gradually ramp up production in 2023 with production from the shaft commencing in 2027. Agnico Eagle expects to have up to 40,000 tonnes per day of excess mill capacity at the Canadian Malartic complex starting in 2028, as processing of the open pit ore and low-grade stockpile begins to wind down and processing transitions to the higher ground underground Odyssey mine. 
 Turning to Côté Gold Project. We hold a 0.75% NSR royalty over the southern portion of the Côté Gold Project located in Ontario. IAMGOLD has disclosed that Côté Gold Project was estimated to be approximately 73% complete at the end of 2022. IAMGOLD also disclosed that the aggregate anticipated proceeds from asset sales, combined with the funds to be provided by Sumitomo under the joint venture for the mine will meet the estimated remaining funding requirements for the completion of construction at Côté. IAMGOLD further stated that Côté is expected to commence production in early 2024, when it is expected to become Canada's third largest gold mine by production. 
 Turning to the REN project. We hold a 1.5% NSR and a 3.5% NPI over the Ren project, part of Barrick's common complex in Elko County Nevada. On February this year as part of the company's 2022 results announcement, Barrick highlighted an increase in inferred resources of REN to 1.6 million ounces, and stated the growth is expected to continue in 2023. At REN, drilling continues to grow inferred resources in the JV zone as well as confidence in the annuity of mineralization at the corona corridor, where MRC-22002 drilled within the Devonian Rodeo Creek formation, returned 16 meters at 17.35 grams per tonne of gold. 
 Turning to the Fenelon Gold project. We hold a 2% NSR royalty over the vast majority of the Fenelon Gold project located in Quebec. On January this year, Wallbridge announced an updated mineral resource estimate for the Fenelon Project prepared under NI 43-101. The updated mineral resource estimate is expected to form the foundation for Wallbridge's upcoming PEA on Fenelon, which is expected to be completed in the second quarter of this year. Wallbridge also announced its 2023 exploration plan, which includes 15,000 meters of drilling on the Fenelon project, which remains open laterally and at depth in multiple directions. The drill program will follow up on recent exploration results that continue to expand the known gold system. In addition, Wallbridge will continue derisking the project with further technical studies, environmental and permitting activities. 
 Turning to Granite Creek. We hold a 10% NPI over Granite Creek mine in Nevada. In March this year, i-80 provided an update and recap of progress at Granite Creek. The 2022 underground drill program was focused on delineating mineralization for mining as well as upgrading and expanding resources expected to provide the bulk of mineralization to be mined in the following 12 months. Multiple underground lean developed especially at the Ogee Zone and i-80 continued to extend the decline to depth with the goal of initiating access to the new South Pacific zone located immediately below and to the north of the underground mine workings. I-80 targets to complete underground drilling and bring the newly discovered South Pacific zone into the Granite Creek mine plan in 2023. 
 And finally, turning to Jerritt Canyon. We hold a 0.5% NSR over the Jerritt Canyon mine in Elko County, Nevada. We also hold an incremental per ton royalty interest on the Jerritt Canyon processing facility. On March 20 this year, First Majestic announced its taking action to reduce overall costs by reducing investments, temporarily suspending all mining activities and reducing its workforce at Jerritt Canyon effective immediately. During the suspension, First Majestic contends to process approximately 45,000 tonnes of aboveground stockpiles through the plant. Exploration activities are expected to also continue through 2023 with several additional plans for optimization of the asset. 
 As a result of the suspension, First Majestic's previous production and cost guidance for Jerritt Canyon can no longer be relied upon. First Majestic revised consolidation on production and cost guidance, including capital investments, are expected to be published in July. Gold Royalty notes, the Jerritt Canyon accounts for less than 2% of its portfolio on a net asset value based on consensus estimates. 
 And with that, I conclude my remarks and hand back to Dave. 
David Garofalo: Thanks very much John, and thank you all for your attention today. And I think what's indisputable is that we are headed into what I think is unprecedented bull run for gold. The ingredients are there in terms of an accelerating inflationary environment, a likely pivot by the Federal Reserve and central banks globally to easing monetary condition, because they're changing -- they're faced with the conflicting challenges of high inflation, but also a financial contagion, and they're going to have to do increasing liquidity to stave off financial room within the financial services sector, not unlike we had in the great financial crisis just 15 years ago. 
 So we're likely to enter into a period where gold will exceed all-time highs of $3,000 an ounce on a real basis. In that type of environment, we do expect gold equities to respond. And was also striking is that gold equities have not responded even though gold on a nominal basis is achieving all-time highs again, we've still seen gold equities discounted severely from where they were. The last time gold was above $2,000 an ounce, at least 30% below the all-time high. 
 In the producer universe, I think that's factored by or influenced by the fact that producers are not immune from inflation that we're experiencing in the general economy and that certainly weighing on their valuations. That's why we believe that the royalty space is the best place to get optimum leverage to the gold price and optimum leverage exploration while protecting yourself from inflation in the underlying gold producer universe. And no company is better positioned for rising gold prices than Gold Royalty from a couple of respects, we have increasing production from our underlying royalty portfolio, and we have peer-leading growth in revenue. Admittedly, we're in a space in the equity markets where growth is being severely discounted as nominal rates go up, and that certainly led to underperformance. But we think that as monetary conditions ease, as the gold price goes up, we're uniquely positioned to provide the best growth from the best jurisdictions in the world, Nevada, Quebec and Ontario, where we have a heavy concentration in our portfolio. 
 And as I said, we have optimum leveraged exploration. Last year -- our operating partners invested over $200 million or 700,000 meters of diamond drilling under underlying properties, growing the reserves and resources and exposing our shareholders to that exploration upside, and we expect a similar exploration focus from our operating partners over the course of 2023, which will lead to further exploration upside within our portfolio. So I think we're excellently positioned to not only grow our cash flow, but also grow our dividend over time, and also well positioned with strong liquidity on the balance sheet to participate in new opportunities as they come our way over the course of the next year or so. 
 With that, we'd be delighted to take questions from our shareholders. Thank you so much for your attention today. 
Joanne Jobin: Thank you, gentlemen, for a fantastic update, and thank you for your time today. By the way, we had almost 120 participants on this call. So well done. I can see by their comments and the questions that many of your shareholders appreciate the opportunity to be able to interact directly with you. 
 So with that, we'll start taking Questions. Just let me come into the portal. Here we go. Can you please outline the specific areas where cash operating expenses can be reduced to achieve the 2023 guidance level? And also, can you break out between the royalty revenue and the option proceeds to get to the 2023 guidance? 
Andrew Gubbels: Sure. I can take that. So the recurring cash operating expense reductions through 2023 is likely to happen in a few areas. First off, I think everyone will be aware and understand that we, as a company, made 3 large acquisitions post IPO, we had a major subsidiary in Nevada and Val-d'Or, Quebec at the time. One of the things that we are in the process of doing and will do through 2023 is consolidate and reorganize those subsidiaries, such that there should be elimination in excess overheads in those areas, reduction in consulting costs, et cetera, as one thing. 
 We do expect also as the company was established, the moderation in the office and IT setup costs through 2023, as the company stabilizes that sort of happens once. Also refocusing marketing and our costs through 2023 should be helpful to get to meet that guidance for costs. So those are the key areas that we'll focus on for cost reductions to meet that $7 million to $8 million recurring cash operating expense guidance. 
 Now on the question about royalty and option proceeds for 2023. Approximately 40% of that will be from our royalties with the majority coming from the Canadian Malartic mine and approximately 60% will be options, AMR, et cetera. 
Joanne Jobin: Thank you, Andrew. Next question, and we've had a lot of questions about this regarding the performance of the stock. Can you discuss why there is pressure on the stock? Or as I like to say, what is the market missing? 
David Garofalo: Look, I think as I alluded to a little earlier on, when I provided a summary of our presentation, growth has been severely discounted in this market. In a market where interest rates are rising, we're seeing our growth significantly discounted. Our growth stories are definitely not in both. Immediate cash flows getting a premium. And admittedly, our cash flow in the short term is not as significant as it is over the next 3 to 5 years as we crystallize that growth from an enviable portfolio in the Americas. And so as interest rates start to pivot downwards, and we firmly believe that the Federal Reserve and central banks globally are going to undertake and are undertaking a grand pivot to easing monetary conditions. And we start to see generalist equity start to participate in the gold market, and they've been largely absent up to this point, and we've seen that in the underperformance in mining equities generally. 
 I think you're going to see a premium place on the kind of growth that we can offer, growth that's fully funded, I should add. As I said, we have 216 royalties, but they're all bought and paid for. We don't have to put another dime into our growth, nor do we have to put a dime into the significant exploration programs that our operating partners are undertaking. All of that growth really comes for free, because all of our royalties are bought in paid, but we just have to wait for that growth to crystallize. 
 And the value accretion on a per share basis is immense, because our share count is static and our growth is immense. And that's the opportunity we see as we start to see capital reallocated back into the gold sector. Just to give you a sense of the upside potential within the gold sector generally, if you look at global asset allocation, it's only a small fraction of 1% of capital globally, it's allocated to the gold sector and physical gold. It would only require a small reallocation of capital, really a rounding error to significantly enhance not only the price for gold, but also significantly enhanced valuations in the gold sector. And as that capital gets reallocated into the gold sector, it's our firm view that investors, generalist investors, in particular, are not going to be looking to invest in shrinking businesses, so we'll be looking to invest in ones that are growing not only on an absolute basis, but on a per share basis. 
 And again, because our growth is all fully paid for, that means the per share accretion, the per share growth in our value and our earnings and our cash flow is dramatic over the next coming years, and investors coming into the space will be looking for growth again, which has not been the case up to this point. 
Joanne Jobin: Thank you. So staying on the gold market, what is the impact for GROY when gold goes up by $100, for example? 
David Garofalo: Yes. Certainly, look, every $100 move in the gold price has millions of dollars of impact in our revenue, increasingly so as a more significant portion of revenue comes from production rather than options. If you look at our growth beyond the next couple of years, all of that growth is coming from royalty revenue, not option proceeds. In fact, our assumptions in our revenue projections and the consensus estimates that you've seen in our chart up to this point, is that our option proceeds fall off at effectively zero over the next 2 to 3 years. And all of our growth comes from royalty revenue. That means that every $100 move has an immense impact on our revenue growth over the coming number of years. We're using [ $1,650 ] gold long term for a consensus for estimates. That's the consensus gold price. So even at current gold prices, there's upside in those revenue projections that we showed you a little earlier in the presentation. 
John Griffith: Dave, I might add that the other thing about a rising gold price environment, because we are in royalties, that incremental revenue just drops to the bottom line. There are no costs that come with it. So it's incredible leverage. And that's one of the beauties of the royalty business model. 
Joanne Jobin: Thank you, John. Can you comment on Marin Katusa and why you advised his subscribers to sell? 
David Garofalo: Yes. Marin, last year really turned bearish on gold, because the Federal Reserve was starting what was at that point and still is an unprecedented increase in interest rates. And he used the phrase, don't fight the Fed. And so he actually advised his investors, his subscribers to liquidate their gold positions. It wasn't just a Gold Royalty phenomenon and obviously, he was very heavily weighted to Gold Royalty as one of his preferred stories, but he decided to make a wholesale rotation out of gold. 
 Interestingly, in the last couple of weeks, he's pivoted back into the gold sector and is actually advising as investors to look at gold and the potential for an unprecedented bull run in gold. So I think like many of us, he's starting to see the potential for a significant pivot by central banks from tightening monetary conditions to easing them dramatically because of the prospect of a financial contagion. 
Joanne Jobin: Thank you. I know we've talked a little bit about pressure on the stock, but is there an actual catalyst that will help to improve the share price in the coming year? 
David Garofalo: Well, from a macro standpoint, I would say the gold price would be a significant catalyst for not just our equity, but mining equities generally, but in particular, royalty companies in the face of increasing inflation. That's the best place you want to be parked to get optimum leverage to the gold price optimum leverage exploration while protecting yourself, as John correctly pointed out, from inflation. Every dollar increase in our revenue goes right to the bottom line, because our costs are stack and in fact, have been declining by 30% from the previous years is we've integrated all of this growth that we've executed on since our IPO just 2 years ago. We're still a relatively young company, and we continue to optimize our business and optimize our cost structure. And so I think we're very well positioned for a rising gold price environment. 
Joanne Jobin: Thank you. I know you've thoroughly discussed the First Majestic closing of Jerritt Canyon. But is there something else that you could sort of explain to your listeners, because we're getting a lot of questions on that? 
David Garofalo: Yes. Look, I think there's a couple of things that we should point out. By consensus estimate, Jerritt Canyon represents less than 2% of our underlying value of our business. And that's the power of diversification that you can realize in a royalty company that you can't hope to realize even in the most senior operators in the gold industry. Even the biggest have no more than a dozen to 15 mines within their portfolio. So there's a limit to the diversification you can you can undertake when you're a producer, it's impractical to run more than 12 or 15 mines even if you're a very big producer like Newmont or Barrick or Agnico Eagle for that matter. 
 And so with 216 royalties, we could run a business 10x the size with the same human footprint. We have 8 full-time equivalent employees. There's no limit to the diversification we can achieve in our portfolio. That's another unique aspect and feature and attraction of this model. And while Jerry Canyon is not in production currently, and they're still assessing first Majestic going to restart operations there. We've completely removed that from our guidance. And that represents upside now. And the beautiful thing about royalties is they don't waste, they don't decay. They don't require capital. We can just be patiently waiting for those operations to restart for First Majestic continuous exploration program and benefit from the upside from our exploration efforts were actually having to contribute. So that provides a lot of optionality for our shareholders. 
Joanne Jobin: Thank you, David. And is the company looking to continue to grow through portfolio acquisitions? Or are you going to rely on organic growth for the next little while? 
David Garofalo: John? 
John Griffith: Well, one of the beauties of our portfolio, as I mentioned, is we've got some of the largest and most prolific gold producers in the world, spending considerable amounts of money drilling and further advancing all of the underlying assets in our portfolio. So without us having to do anything, there's a natural migration of the assets within our pipeline towards production. So in addition to those are coming online, which we've already discussed, we've got this further impetus for growth. But that's all organic, and it's all paid for. 
 We're certainly very active. In fact, I'd say we've probably never been quite as active in looking at different opportunities. And you might say, well, why haven't we transacted. And I'd say, largely because of our discipline in trying to find the right opportunity that's going to be a good fit with our portfolio, that's going to be additive to our strategic imperatives, that's going to add value to our net asset value per share. And so we're looking at opportunities that I would say would be across the spectrum. Consolidation opportunities, writing new royalties, providing fresh capital to operating companies, looking at portfolio assets, looking at single assets. 
 And I'd say also that our organic royalty generation both in Nevada and Quebec have both been very, very prolific for us in generating new organic royalties. I think the one thing I would say though, I'd probably turned down the amount of consolidation that's going on. We've already seen a considerable number of companies that have either consolidated already or certainly changed in form -- so I think the opportunity for corporate consolidation is simply a narrower window, but we're busy in all aspects of the corporate development spectrum. 
Joanne Jobin: So to answer one of the questions that has been asked, so you are open to looking at any M&A possibilities in the near future given the consolidation we've seen in the space recently? 
John Griffith: Absolutely. I mean, as I said, the one thing we do have to make sure is it's a good strategic fit, we have to be disciplined. And again, we look at a significant number of opportunities. I know David has said this before, we operate almost in a perpetual state of due diligence. And I'd love to be able to say definitively and handicap the possibility of those opportunities turning into live transactions, but there are so many factors that are at play that make it impossible to really give any confidence around that, suffice to say that we've never been as busy in the corporate development group here at Gold Royalty. 
Joanne Jobin: Thank you, John. What is the percent -- and we've had a lot of questions about this, by the way. What is the percentage of Eric Sprott's current GROY holding? 
David Garofalo: It's really hard for us to discern any individual share ownerships unless they're doing public filings. So hard to say. But we know that we've inherited some really high-caliber shareholders over the course of our existence since our IPO in consolidating Ely, Golden Valley and Abitibi and that included not just Eric Sprott, Rob McEwen, Jimmy Lee, -- these are -- have been good strategic shareholders. And I should add, we also have Nevada Gold Mines, which is the joint venture between Newmont and Barrick as a significant shareholder as a result of the acquisition of the Granite Creek royalty last year, they're, I think, sitting at around 6% based on public filings. 
Andrew Gubbels: I think I'll also add that Eric Sprott was a big believer in Ely assets, and they still remain within Golden Royalty Corp. So investors still get exposure to those assets through our shares, certainly. 
Joanne Jobin: Thank you, Andrew. There were a lot of questions regarding, I'm going to say perceived dilution of the stock. Can you comment, please? 
David Garofalo: I'm not sure what you're referring to. We haven't had any major share issuances other than for share-based compensation, restricted share units to our Board of Management forms actually the majority of our compensation is share-based compensation. But the last big significant share issuance was as a result of the M&A we've done. And we haven't issued any stock for cash of any significance really since our IPO when we raised $90 million. 
Joanne Jobin: Thank you, David. On average, how much time will the development projects take to generate income, 1 to 2 years, 2 to 3? 
John Griffith: I'll take that -- maybe if we could turn back to -- I'm going to turn back to our growth slide here. So basically, as I mentioned in my prepared remarks, we're looking at 60% growth from 2023 to 2025 based on analyst consensus estimates. So that hopefully gives the person asking that question, an indication that our revenue is going to grow significantly over the next couple of years. And beyond that, it takes an entire next step, leap as Odyssey underground and production from the shaft comes online. Obviously, we've got the royalty on the southern portion of the Côté when that comes online in 2024, we -- our royalty basically sits right over the near-surface mineralization. So we expect significant revenue from Côté in its -- certainly in its early years of production. 
 And I think Granite Creek is another asset that's going to be a massive contributor to our relatively near-term revenue appreciation. And I think beyond that, as I mentioned, we have 14 assets that are in that development pipeline pushing towards production. And for that reason, we haven't obviously provided guidance specifically out to 2027. But you'll see here that we anticipate our revenue will be, depending on whatever commodity prices you want to assume, at least at the $50 million to $60 million level, again, without us spending a single cent without us issuing a single share. 
Andrew Gubbels: To add to that, to answer your question in terms of years, we've got some coming on in less than a year to 1 year, some in 2, some in 3, and we've got over 200 -- 216 royalties. So over the course of the life cycle if a lot of those are developed or even a handful of those, we're going to see that trajectory increase year-over-year. So it is really a mix of depending on the assets. But we do have some coming in, in a year, 2 years, 3 years to underpin this profile. 
Joanne Jobin: Thank you, gentlemen. How much exposure does GROY have to silver production, given the push to EVs and renewables, theoretically, that should be improving those prices for that commodity? 
David Garofalo: John, do you want to tackle that one? 
John Griffith: Yes. I think we have a modest amount of silver exposure. I don't think it's going to be the key driver of our bottom line revenue growth. It's nice to have that exposure. We also have some exposure to copper, which I think, has a very similar investment thesis. So quite frankly, I think it's copper really that will be the commodity that really links up with the greening and the decarbonization of the global economy more than silver within our portfolio. 
Joanne Jobin: Thank you. How many assets we'll be producing by 2024? 
David Garofalo: John? 
John Griffith: Gosh, I don't know if you have that one, Andrew. I think it's going to be ... 
David Garofalo: Well, '24, Côté comes on next year. That's probably the most significant addition and that's going to be quite a significant step change in cash flow. But that would be probably the most -- in 2024, that will be the most significant addition to our cash flowing portfolio. And Côté, I would just remind everybody at 0.5 million ounces a year of production is approaching the second largest in Canada production, second or third largest in Canada. And as you just add, again, to the quality proposition, we have a royalty on what's now Canada's first or second biggest producing gold mine Canadian Malartic, depending whether you look at Detour is #1 or #2. We have a royalty on Côté, which will be #2 or 3. We have a royalty on the underground extension of Goldstrike, which is the biggest producing gold mine in U.S. So John's point earlier on, Franco-Nevada being built on 1 of those assets of that quality. We have 3 of them in our portfolio, which is unprecedented for a company of our size and certainly in -- the [ MV ] of any of our immediate peers in the smaller cap universe. 
Andrew Gubbels: Yes. No, I think we -- throughout the year, we'll go from about 7 to maybe 12 in total, 11 or 12. It should come some later on in 2024. But Dave, sorry, Côté is really one of the major contributors in 2024. 
Joanne Jobin: Okay, gentlemen, and we are at the top of the hour here. So I'm just going to ask one more question and that is, are any of your royalties subject to buybacks? 
John Griffith: We have a limited number of royalties that are subject to partial buybacks. There are none that have full buyback options. So it's -- we're quite pleased to have the majority of our royalties being NSR royalties. And again, very little in the form of buydowns and none that have total buydowns. 
Joanne Jobin: Okay. Thank you. Thank you, David, Andrew and John, and thank you to everyone, who joined us today. If you have further questions for the company, you may e-mail them at info@goldroyalty.com. Thanks, everyone, for tuning in. It's been a pleasure to host you. We will see you soon on the next VID Town Hall Forum.